Operator: The schedule has come, scheduled time has come, so we will now begin the briefing on Hitachi, Ltd.'s financial results for the year ended March 31, 2024, and the progress of the Mid-term Management Plan 2024. Thank you very much for taking out of time your busy schedule to attend today's briefing. CFO, Kato, will first explain the financial results for the year ended March 31, 2024; then President, Kojima, on the progress of the MMP 2024, followed by a Q&A session. The presentation materials are available on Hitachi, Ltd. IR website and news release website, so please take a look. Let me now introduce the two speakers: Keiji Kojima, President and CEO of Hitachi, Ltd.; Tomomi Kato, Senior Vice President and Executive Officer, CFO. Mr. Kato will first explain the overview of the financial results. Please wait for a moment while we switch screens. Kato, over to you. From this time onward, Kato will be presenting on consolidated business results.
Tomomi Kato : Thank you for your attention. Let me explain the contents. Page 1, please. So first, key messages of the consolidated results. And next, FY 2023 results and forecasts, followed by performance by business segment and, lastly, appendix. These are the contents. So let me present the key messages. First, FY '23 results. Due to robust orders by DX/GX tailwind, Lumada business expanded and cash-generating capability also enhanced as a result. Three sectors achieved higher revenues and profits. Especially with the penetration of cash flow management, we were able to have record high core FCF; and ROIC, an indicator for capital, was also improved. And there are six KPIs I would like to explain. In the three sectors, revenue grew by 12%. Green Energy & Mobility and Digital Service & Systems have grown mainly. And excluding ForEx impact, 8% growth was seen. Adjusted EBITA year-on-year increased by 20%, and EBITA margin on an adjusted basis went up by 10.1%, improvement over last year. And net income on a consolidated basis increased to JPY 589.8 billion. And because of less cost from restructuring, it was better than the earlier published forecast. Core cash flow increased by more than JPY 155 billion and had a record high of JPY 571.4 billion. And conversion ratio was 97%. So most of income was turned into cash flow. And ROIC, because of Astemo and with reduced interest-bearing debt, improved by one point to reach 8.7%. Next, FY '24 forecasts. The '24 MTPs are to be met. So we are expecting increased revenue and profit for three sectors. And core cash flow is expected to be JPY 1.5 trillion, exceed target by JPY 0.3 trillion. In the first half, three sectors, revenue is expected to grow by 5%. Excluding ForEx, 8% growth is expected, which is on par with FY '23. Adjusted EBITA is expected to grow 20%. Excluding ForEx impact, the growth expected is 23% in adjusted EBITA. So just like FY '23, 20% growth is expected. And adjusted EBITA margin is expected to grow to 11.5%. And in the lower half, on a consolidated basis, net income to grow to JPY 600 billion. Core free cash flow is to be JPY 480 billion. On a three-year cumulative basis, it is to exceed the MTP target, although there are changes in CapEx and ROIC, because of increased EBITA, is going to rise year-on-year to hit 9.5%. So it's going to be close to 10% that is expected under MMP. Lastly, shareholder returns. So core free cash flow is to be strengthened. And with additional sales of policy holdings, we are expecting to see increased shareholder returns. In terms of dividend, the total dividend is going to increase JPY 15.3 billion, and we're going to pay JPY 144.5 billion, so 24% growth in dividend to be JPY 180 per annum. With respect to share buyback, it's going to be increased by JPY 100 billion from FY '23 to hit JPY 200 billion in FY 2024. Now let me give you FY '23 results highlights. First, revenue. On a consolidated basis, because of restructuring of Astemo and listed companies, it went down. But for the three sectors, it grew by 12%, as I said earlier. Excluding ForEx impact, the growth was 8%. With respect to adjusted EBITA, with the business restructuring, there was a reduction in operating income, but growth in income surpassed because of the 3 sectors, and so it increased. Lastly, net income, because of the restructuring of listed companies, that caused a decrease, hence, thus this number. Next, let me explain the changes to revenue and adjusted EBITA year-on-year. At the top, revenues. On the far left, that is the actual for FY 2022. Let me explain from left to right. So divestiture of Hitachi Metals and HCM and Hitachi Astemo divestiture in 2023, because of these divestitures, revenue went down. But ForEx had a positive impact on revenue, and there was organic growth as well. Especially GX Hitachi Energy, DX business, IT Services, these were the ones that grew. And the bottom half, adjusted EBITA, similar trend is seen here. So others increased by JPY 130 billion. Changes in business scale, selling price change had positive impacts, and they offset the negative factors such as soaring material prices, depreciation and so forth. So adjusted EBITA grew year-on-year. Next, the financial position and cash flows. At the very top, in the first line, total assets, JPY 12.221 trillion, so down JPY 280 billion year-on-year. There was a positive impact from ForEx. But because of Astemo, assets went down. So overall, reduction was seen. For total liabilities, because of Astemo equity method and other factors, there was a reduction by close to JPY 1 trillion. So as a result, D/E ratio went down to 0.2x. So financial health went up. But leverage-wise, this may be too low. Inclusive of acquisition of the GTS business, we believe that the ratio will rise to a desirable level. Now cash flow management, this has penetrated and most of the numbers went up. Hitachi Energy, because of advances, increased. As a result, operating cash flow and investment cash flow improved by more than JPY 100 billion year-on-year. Record highs were seen. Next, revenue by market. So 3 sectors, mainly from left to right. First, on Japan, increase of 8%. The largest growth was seen in DX, Digital Systems & Services. Front Business, IT Services also grew to achieve 11%. Next, North America, in terms of the 3 sectors, so up by 22%. Mainly Hitachi Energy, because of healthy growth in orders grew and so DSS or GEM of 44%. Next, Europe, 16% growth. Hitachi Energy grew and became a driver, so GEM, 22%. And for other sectors, 32% growth. GEM saw 40% growth, especially Hitachi Energy had the Middle East projects and rail project in Latin America and because of ForEx impact, 32%. And the ratio of 3 sectors was 59%. Next, let me move on to highlights of forecasts for FY '24. As I said upfront, almost all KPIs of MMP 2024 expected to be achieved and core FCF to be achieved with JPY 1.5 trillion. Acquisition of Thales GTS is planned to be closed in the first quarter of FY '24. So we are expecting that to be factored in, in the revenue forecast. Because Astemo's impact from '23, revenue is going to go down by 7%. But excluding ForEx impact, growth is expected to be 8%. This is on par with the growth we saw in FY '23. Next, on adjusted EBITA, because Astemo's equity method, there was a negative impact on operating income. But on a consolidated basis, increase is expected. Net income to rise year-on-year. So because of Astemo, in FY '23, nonoperating sales, JPY 120 billion, that's not going to factor in, and yet, we're going to see an increase. So 3 sectors, because of Astemo and excluding its impact from the equity method, that is excluded. Next, FX assumptions, JPY 140 to the dollar is retained. It's different from the actual rate, but there could be sudden change. And in anticipation of that, we decided to retain JPY 140. With JPY 1 change, adjusted EBITA will be affected positively by JPY 1.2 billion. Next, factors affecting year-over-year changes in revenue and adjusted EBITA for FY '24. At the top, our revenue. On the far left, the actual for FY '23 is plotted from left to right. During FY '23, because of Astemo, revenue is going to go down. With the acquisition of Thales GTS, however, we are expecting increase in revenue and a negative impact from ForEx, and others include organic growth, mainly GX-related business, Hitachi Energy, Services & Platforms for DSS and Connective Industries, CIs, Hitachi High-Tech. In terms of semiconductor manufacturing equipment, there's going to be customer demand to be recovered in that area. And the bottom, adjusted EBITA, we are going to see similar trends as those in revenues. For Thales GTS, the acquisition cost is excluded. And others, JPY 160 billion increase in others. So increase in business scale and selling price changes are going to be positive factors, and they will offset the soaring procurement cost and increased investment. So adjusted EBITA on a consolidated basis is also to grow. Next, performance by business segment. First, Digital Systems & Services, DSS. For the entire FY '23, revenue grew by 9%. Adjusted EBITA margin was 12.8%. So revenue and profit increased year-over-year. Revenue was Front Business and IT Service growth and Services & Platforms. GlobalLogic grew more than double digit. And on a dollar basis, it grew by 15%. Next, FY '24, DSS overall, 4% increase. But excluding FX, it is plus 5%. So it will be the same growth rate as FY '23. The 3 subsegments are expected to grow. Especially GlobalLogic, excluding FX, will grow by 15%. And profit margin on a stand-alone basis will maintain 20%. Next, Green Energy & Mobility, GEM. GEM, overall, fiscal '23 revenue grew by 24%; excluding FX, 16% growth. So both revenue and profit grew year-on-year. Revenue, Hitachi Energy and Railway BU grew by double digit. So both grew sales, revenue and profit. Next, FY '24, GEM overall, 12% growth; but excluding FX, 16% growth. So it will be the same level of growth as FY '23. Hitachi Energy and Railway BU will grow by double digits. Railway BU, Thales GTS, signal-related business is included. Others, Hitachi Energy and Railway BU, excluding MA-related expenses, expect more than 10% margin. Hitachi Energy-related cost is the new IT system after carve-out will stabilize this year. Next is Connective Industries, CI. CI overall, FY '23 revenue grew by 3%. Adjusted EBITA margin is 10.5%. So both revenue and profit grew year-on-year. Revenue, Smart Life & Ecofriendly Systems and Hitachi High-Tech grew. And the Water & Environment where air conditioning and industrial products grew. FY '24, CI overall, revenue grew -- will grow by 3% and plus 5% excluding FX. And so the growth rate will rise vis-a-vis FY '23. Building BU has adjustment in the China real estate market. And Water & Environment will also see a decline, but other BUs will grow. Especially Hitachi High-Tech, the customer investment in semiconductor manufacturing equipment will recover, so revenue will grow by 5%. In all BUs, more than 11% profit margin is expected. Next, Lumada business. First, left-side graph shows FY '23 revenue, 19% growth year-on-year and profit margin, 15%. So this is 1 percentage point improvement. Digital engineering and four quadrants all had more than double-digit growth. In FY '24, 14% growth and profit margin 16%, so another one percentage point improvement. Next bar graph on the right, FY '24 ratio of overall revenue will be up to 29%. Adjusted EBITA will go up to 41%. Lumada business growth and profitability improvement will contribute to the growth of revenue and profit of Hitachi overall going forward. Of the appendix, the order by segment. Page 21, please. First, on the left, DSS, orders went up by 9% year-on-year. Front and IT Services mainly grew. Next, GEM, Green Energy & Mobility year-on-year saw an increase of 25% in terms of orders. Hitachi Energy, HVDC projects grew and growth was 41%. And Railway is down, but that's because of large tanking project. And the orders amount to JPY 1 trillion, which is greater than yearly revenues. So orders themselves are growing for Rail. And on the right, Connective Industries, it's flat overall, but for industrial and digital solutions are receiving robust orders. So Water & Environment as well as Industrial Digital and green products, including industrial products, they grew quite robustly. That concludes my presentation on the consolidated results for the year ending March 2024.
Operator: Kato-san, thank you very much. Next, progress of Mid-term Management Plan 2024 will be presented by Kojima. We will be switching the screen. Kojima-san, over to you.
Keiji Kojima: So to continue, Kojima, I would like to explain the progress we're making with respect to 2024 MMP, Mid-term Management Plan. Now leveraging the results of structural reforms, we would like to achieve organic growth to enhance corporate value under 2024 MMP. And there are KPIs set for that, and they are as described here. Today, so centering around the main KPIs, what progress we have been making in achieving our targets under our 2024 MMP as well as the other initiatives. Next slide, please. First, sustainable management that we are proceeding with, let me explain the status of that. Next slide, please. So sustainable management that supports our business, that's what we are focused on. First, in terms of reinforcing governance, we have promoted our commitment to business growth by better linking shareholder value and executive compensation. And disclosing information to stakeholders, that is also reinforced and strengthened. Next, with respect to our environmental initiatives, we want to contribute to customers' decarbonization efforts. And we are on track to substantially achieving our goal of helping customers decarbonize their businesses. And our efforts to become carbon neutral in Hitachi business activities are also smoothly underway being also on track to exceed our goals. Lastly, human capital. We are strengthening our diverse talent. And in 2024, half of 4 Executive Vice Presidents appointed are non-Japanese. So we're promoting globalization of management leadership. With respect to digital human capital, we are expected to achieve our midterm plan target in FY 2024. Next, so diversity and globalization of management, we have begun on our efforts since April 1. Under this new organization, we will boost our global competitiveness, accelerate growth through digitalization and achieve sustainable growth. Next slide, please. I will now explain the status of each of the major KPIs of 2024 MMP. So as Kato-san earlier explained, in terms of the overall situation, so the financial structure that we are targeting under MMP, Hitachi is on track to largely achieve this structure through organic growth. And let me explain each of the KPIs. Let's take a look at the next slide in terms of revenue. With regard to revenue, we have a tailwind from GX. And because of that, we have seen major growth in Europe and the U.S. DX is also growing steadily on a global basis. There is a tailwind for DX as well. So capturing that in each sector in terms of both orders received and backlog, the business is growing quite substantially. Especially in GEM, Green Energy & Mobility sector, there has been infrastructure demand expanding in Europe and United States. Our business is growing, and robustness of Hitachi Energy's orders far exceeded our expectations when we formulated the 2024 MMP. As a result, revenue growth is expected to exceed our target of 5% to 7% per annum and reach 10% per year. Next, on profit, let me use the next slide to explain profits. So this was explained by Kato-san. What drives our profits is our Lumada business, as we have explained so far. The graph on the left-hand side shows that revenue from Lumada business is growing steadily. And Lumada's share of Hitachi's overall revenue is also expanding. As is on the right-hand side graph, Lumada business, which is being profitable, is driving Hitachi's overall profit growth. Now let me give you a few examples of businesses that are driving Hitachi's growth and Lumada business. So an example in Japan, stable supply of electricity and decarbonization, we want to contribute to that. We have this next-generation nationwide load dispatching system for that purpose. So this is a project that combines Hitachi's mission-critical SI know-how and Hitachi Energy's OT know-how, including power network management. So the example in the middle, especially in Europe, this reduces maintenance costs through management of railcar and equipment conditions, mainly in Europe. It's referred to as railway smart maintenance. In this case, Hitachi Rail's condition monitoring, Hitachi digital services data collection and analysis and cloud computing technologies are combined to provide solutions to customers. In Saudi Arabia, a project to build a smart city that operates on 100% green energy called NEOM is pursued. We are involved in that. We are promoting proposals for a high-voltage DC transmission and conversion station, strong product of Hitachi Energy and a digital twin solution from GlobalLogic. We have already won this project. So these are just a few of the examples, but the number of social innovation projects is rising rapidly for global customers and regions. Next slide, please. As is on the right-hand side, as you well know, during the MMP 2024 period, there were various risks seen, those associated with the economic environment, the pandemic and geopolitics. But under the 2024 MMP, we started a new risk management system led by Risk Management Committee and CRMO. And by strengthening this risk management system, we are now able to respond to risks earlier and reduce losses. That's what we've been focusing on. As a result, our net income is gradually stabilizing. So we will continue to augment our risk management system to further stabilize our net income going forward. Next slide, please. So under MMP '24, we are looking to expand the core cash flow. That's going to be our top priority. So we will focus on cash-oriented management. As a result, compared to MMP '21, we are to grow core cash flow by 50% or more to achieve JPY 1.5 trillion. In addition to improving our CCC, which we have conventionally done, we have also been working to improve operational efficiency by using the conversion rate as an indicator of how efficiently we can generate core free cash flow from net income, and this cash conversion is expected to improve significantly. On top of that, a review of contract trends for long-term projects and pricing for inflation and price hikes are also contributing to significant improvement. These efforts are being undertaken quite swiftly by front desk and others. Next, please. This is about EPS and cash flow per share. So owing to stable generation of net income and expanding our core cash flow, EPS and CFPS are expected to exceed the midterm targets, reaching JPY 655 and JPY 524, respectively. As a result of expansion of net income and our priority on cash-oriented management, we have been able to achieve even greater growth than in the past MMP. Next slide, please. So as I mentioned earlier, this is core free cash flow expansion and also the sale of shares and other assets held, cash generation in MMP 2024 will be JPY 2.8 trillion, well above the MMP target of JPY 2.3 trillion. And the allocation will be balanced between strengthening shareholder returns and increasing growth investments. So first, let me talk about the strengthening of shareholder returns. Please turn to the next page. So this time, we announced a dividend increase to a level matching growth in profits and cash and share buybacks. Share buyback is following the additional asset sales in the previous year and is set at JPY 200 billion. And dividend is now up by JPY 20, a significant increase from the previous increase of JPY 5 through strengthened core free cash flow generation. The JPY 20 dividend increase exceeds the previous dividend growth rate of JPY 5. This is in line with the 17% growth in EPS and 22% growth in CFPS over the 3-year period I have just presented. In addition, dividend increase trend is maintained for 13 consecutive years with no dividend cuts. With the dividend increase this year, the 13-year dividend growth rate is now 12%. We increased our shareholder returns while adjusting the dividend level to match the company's sustainable growth. Please turn to the next slide. Next is on growth investments. Investments have been executed or decided upon mainly in the form of medium-scale M&As to strengthen individual businesses around JPY 800 billion, as shown on this slide. Going forward, we will expand our growth investments in order to generate further cash without slowing down the pace of growth. In addition to strengthening individual businesses, we expect to invest JPY 1 trillion additionally to capture new growth opportunities. The main investments are shown on the slide. So next slide, please. And one more slide, please. So during the MMP 2024 period, we had big events, which is the emergence of generative AI and the drive of DX and GX. The market expansion in the marketing manufacturing sector, driven by DX and GX. In addition, the orders and backlogs in the Social Infrastructure business promoted by Hitachi Group are expanding significantly, as I explained earlier. And opportunities are also being created to servitize the business by combining strong products and OT knowledge with digital technologies. All of these are new growth opportunities for Hitachi Group and present significant opportunities for sustainable growth. So we will capture them without fail. Please turn to the next page. First, generative AI. With the emergence of generative AI, productivity is improving and IT infrastructure is expected to expand. Software productivity improvement will help to resolve the shortage of engineers. It will improve work efficiency in requirement definition, design and test processes and also improve quality by reducing human error. We will concentrate our investment in building capacity to utilize generative AI with a focus on GlobalLogic. In addition, 80% of our global working population is active as frontline workers. Improving the productivity of frontline workers is an area where Hitachi can fully utilize our IT, OT and product strength. And we will actively invest in this area, including the development of industrial metaverse. On the other hand, the emergence of generative AI is also rapidly increasing demand for data centers, as you all know well. In addition to hybrid clouds, Hitachi will provide power receiving, transforming and cooling facilities. Based on our recently announced partnership with NVIDIA, we will step up investment in the development of Hitachi iQ, a highly reliable data management solution. Please turn to the next slide. Next is manufacturing fields expanding through DX and GX. In the semiconductor manufacturing and battery manufacturing fields, due to the increasing demand for data centers and investment in GX, the market size is expected to expand significantly towards 2030. In semiconductor manufacturing, Hitachi will strengthen its line building business along with top global products for manufacturing and testing. To achieve this, we will combine digital technology with strong products and solutions such as CD, critical dimension, SEM and building clean environments while accelerating growth through investment in downstream process, back end of the process solutions. In addition, with green as a tailwind, we can expect to create 5R cyclic services that connect manufacturing, reuse and recycling for next-generation batteries. So we plan to increase our investment in that area as well. Please turn to the next slide. This is the servitization of Social Infrastructure business, a very important theme for us. Hitachi has a wide range of businesses in the social infrastructure domain, each of which has significant delivery track record. In energy, HVDC links installed has reached 150 gigawatts, and railway serves a total of 18 billion passengers a year. In industrial products, approximately 200,000 screw compressors are in operation around the world. We will utilize these installed bases and invest to accelerate servitization. So we will concentrate our investment in this area. In energy, Hitachi Energy and GlobalLogic will work together as two key players to increase availability and advance maintenance with digital services. For railways, Thales GTS with its signal-related business, if they join us, they have the top global share. And Thales and GlobalLogic will collaborate to roll out digital services for an expanded customer base. And in industrial products, we will accelerate the digitalization of Connective Industries and expand our service business. Next page, please. This is the summary of our progress briefing today. We expect to achieve core MMP 2024 KPI with organic growth driven by DX and GX, and we'll allocate the cash generated in a balanced manner to strengthen shareholder returns and increase growth investments. In addition, we will target investments in new growth opportunities such as the emergence of generative AI and fast-growing manufacturing fields. We will realize further organic growth in the next MMP with investments in new growth opportunities. Please turn to the next slide. This is my last slide. Today, I gave an overview of MMP 2024 with the theme of the status of sustainable growth and capturing new growth opportunities. Regarding our future IR schedule, we will hold dialogues with investors and hold Investor Day, which will lead to the announcement of the next MMP starting next year. In particular, at Hitachi Investor Day 2024 scheduled for June 11, I and 4 EVPs and CFO will explain the form of One Hitachi, which realizes sustainable growth while capturing new growth opportunities as we did last year. And I hope you will deepen your understanding of our growth. We look forward to having active discussions with investors and would like to ask you to participate. This concludes the presentation on the progress of the Mid-term Management Plan 2024. Thank you very much for your kind attention.
Operator: Kojima-san, thank you very much.
Operator: [Operator Instructions] The person from NHK. I cannot see the name, but the person from NHK, please?
Yoshi Ogasawara : I'm Yoshi from NHK. There are two questions I wish to ask and both are directed to Mr. Kojima. In the presentation earlier, you talked about investment going forward, a JPY 3 billion of investment in generative AI. That's impactful. And I would like to ask a breakdown of that. So investment in human capital to recruit people, is that included? Well, what you have listed up is existing business, existing businesses to be striking thin. But is there a brand-new business plan? Is that also a part of your initiative? So that's my first question. And my second question is as follow. This may not be directly relevant, but of late, the Japanese yen is depreciating quite considerably. I think your overseas sales ratio is over 50%. What is the yen's impact on your management? What is your view on that? If you could share that with us.
Keiji Kojima : Well, thank you very much for the questions. So to answer your first question about our investment in generative AI, well, strengthening talent, human resources and, if necessary, we may decide to acquire small- to medium-sized companies, and that's JPY 300 billion. So rather than a brand-new business area, first, we want to look to enhance our own productivity. That will be our top priority, so productivity in software development or increasing efficiencies of call centers. So those will be the main areas of focus. And at the same time, in the next phase, social infrastructure projects, including energy, industrial or railway. So in those areas, how can we effectively apply generative AI? That's going to be the question. And so for people who are working as frontline workers, how can we enhance their efficiencies? And we would like to make upfront investment in those areas. And your second question regarding yen depreciation, in our case, our overseas business accounts for 60%. And with cheaper yen, the business overseas will expand, appear larger. But in terms of the overall profitability, in terms of profitability, actually, stronger yen benefits are small and overseas infrastructure business is of lower profitability. But here in Japan, centering around IT business, Japan's business is more profitable. So with the cheaper yen, are we pleased across the board? Not necessarily because there are pluses and minuses, both positive and negative impacts on our business. So the yen becoming stronger, well, BOJ may have the potential of raising rates. And so rates may go up and yen may become stronger. And for quite an extended period of time, we have been prepared to respond to such eventualities. So for a number of potential circumstances, we're going to control risks. I talked about risk management, and we have an established risk management system. So with that in place, we would like to respond to such potential risks. I'm confident that we will be able to respond quite well. Thank you.
Operator: Next, Harada-san.
Ryo Harada: Harada from Goldman Sachs. I have a few questions. If I may ask three questions. First is on IT order, it's very strong, and it's been exceeding 10% since last year. So year-over-year, 10% growth in orders, and DX demand is increasing, and I think that's background to this growth. So the industry growth is probably single digit -- mid- to high-single digit is a sustainable level. So given that background, domestic, Japan, SI, market growth rate over 10%, will this be sustainable going forward? And margin is -- seems like it's improving. So next year, labor cost is expected to rise. And in your case, you will utilize gen AI, generative AI to improve the efficiency of your operations. So will that start having positive impact next year?
Keiji Kojima : So let me go one by one. Thank you very much, Harada-san. So IT order, as you rightly said, is strong. Now the bottleneck is people. How much resource we can prepare and secure is the bottleneck. So the demand is strong, and we think the strong demand will continue for some time. Generative AI, of course, there's direct needs for generative AI. But at the same time, in order to utilize generative AI, the IT system needs to be modernized beforehand. So that is the big needs we are seeing. In Japan, the cloud environment is still lagging behind compared to the U.S. and Europe. So modernization needs are quite sizable. And therefore, for the time being, we think this growth rate will continue. And all our competitors say that the bottleneck is people, human resource. So if we can resolve that, the margin can improve, and that will be when the generative AI will be most effective. And so we will focus our investment there. Thank you very much.
Ryo Harada: So from next year onward, you will offset the increase in the labor cost? Are you confident you can offset?
Keiji Kojima : Yes, we have to start producing results this year, so we'll do that. And at the same time, this is something unique in Japan. In Japan, fixed cost, there's still seniority system or the lifelong employment system. And therefore, there is a lot that the work that is contracted out, outsourced to contractor. And so this contractor part needs to improve so that overall improvement can be enjoyed. So suppliers need to improve. The entire supply chain needs to be improved overall.
Ryo Harada: And second point is power grid business, the transformer additional investment was announced. Globally, the supply-demand is tight, I understand. And you are increasing too. But with the announcement of this new investment, how much product -- production capacity can you secure? How many times more compared to last year or any color you could give on this point? And with the tight supply-demand, the price is rising. South Korean players are now raising their prices, I think. So the long delivery time may not change, but the ASP increase impact may contribute to your business in the short delivery time business or not?
Keiji Kojima : May I answer that question?
Tomomi Kato: Yes.
Keiji Kojima : Thank you for the question. As you rightly said, the transformer is the one that is in biggest shortage when data centers are built around the world. This is the bottleneck for sure. JPY 150 billion was announced, an investment we announced. Our recent orders or frame agreement, a particular customer, multiple projects are bundled together for a particular customer, and the investment is committed and capacity is committed. So that's the type of arrangement. In that contract, we offer service as well. So we need the capacity to fulfill that contract. And to secure that capacity, we are making the investment. And therefore, it's not that we are building more than the contract we have. So Harada-san, you're right, the long delivery projects are the big portion. And so we are trying to put the capacity in place for that.
Ryo Harada: So short delivery time projects. In first quarter last year, there were some short-term projects when things improved. Unit price is rising or not?
Keiji Kojima : Well, unit price is improving generally for us and for our competitors. But a bigger factor is the capacity -- full capacity. We cannot produce because we're at full capacity. So we receive orders, and now I think the average delivery timing is three years delivery period.
Ryo Harada: I understand. Third point, well, Kojima-san explained on Page 17 or Page 18, the long-term outlook, you were pointing to market growth, so in view of what's to happen in 2030. And I wonder, the next MMP will start in FY '25. So in that time frame, will what's described here are going to contribute to the business there? Or will it start to be more effective towards 2030 -- closer to 2030? What is your expectation?
Keiji Kojima : Well, thank you for the question. Well, this is already happening, what's described on these pages. And we would like to obtain as many orders as possible in FY '24. And in the next MMP, MMP '27, we believe that these areas are going to grow quite substantially, and they are going to be core drivers.
Operator: Next, [inaudible].
Unidentified Analyst: [Inaudible] from Toyo Keizai. I would like to ask a few questions myself. And this may be a basic question, first, about the performance in FY '24, if you break it down in the first and the second half, how should we look at it in terms of CI, Hitachi High-Tech is going to be the driver, the leader? And if semiconductor business is going to be the main, there will be focus in the second half. And so profitability will be greater in the second half. If you could share that outlook with us. That's my first question.
Keiji Kojima : Kato will respond.
Tomomi Kato: On a qualitative business -- on a qualitative basis, first half, second half split will be closer to the actual in FY '23. But depending on the market, we're expecting recovery in the second half. So Hitachi has semiconductor manufacturing equipment. In the second half, I think customers' investment will recover. And in terms of digital engineering, FY 2023, customers' IT investment grew. But compared to the past, the growth had dulled and went down. So in the second half, we believe that this will come back again, recover. So such are the expectations for the second half this year.
Unidentified Analyst: Understood. Next, what Kojima-san explained, Page 14, JPY 1 trillion investment for the future. What is the time line? So by what time period are you expecting to make this amount of investment? And I think this is relevant to MMP '27. But in the CI sector, when we focus on the CI sector, what can we expect in the CI sector, if you could please elaborate?
Keiji Kojima : Thank you very much. Allow me to answer. What we're trying to spend money on, well, actually, it's in this fiscal year. And among what's described as an item, so flexible M&A when promising cases arise, this is opportunistic. So depending on the case, we could defer that opportunity and decide to make a major investment next year. But other than this, these are the items where we hope to make investment this year. And the CI sector -- specific to the CI sector, among the items written here, those that are relevant to gen AI, it's not just digital, but GEM, Green Energy & Mobility as well as CI. But mainly, it's going to be DSS, Digital Systems & Services. And where the CI sector becomes the main player, manufacturing fields expanding through DX and GX, that's the area. And we want to make various investments in this area to strengthen our CI business. That's going to be a key point.
Unidentified Analyst: So expanding investment for growth, Page 14, what's on the second bullet?
Keiji Kojima : So manufacturing fields, expanding through DX and GX, this is demand that is earmarked mostly for CI, if you could understand it that way.
Unidentified Analyst: That was exactly what I wanted to ask. Lastly, on Page 19, you talk about industrial products and so forth. So growing manufacturing fields more specifically, what are your specific assumptions? That's my last question.
Keiji Kojima : Understood. For compressors, for example, they are used for chemical-related business, ammonia, for example. In green projects, compressors are seeing increasing demand, and they're being supplied to various brands. But we have not done a lot of maintenance work for compressors. We utilize third-party maintenance service. But depending on the cases, we may decide to acquire a maintenance servicer. So we want to turn into a maintenance service supplier. But if we are to do so, we have to leverage digital technology. Taking a low-tech approach will not be beneficial for us in terms of profit. So that's something that we have in mind considering to become a service supplier. So rather than manufacturing per se, we would like to digitize maintenance service, for example, for railway and transmission, distribution of power, the same thing. So how can we utilize this sole technology to better provide services, and this is a major opportunity for the CI sector. And based on that, we're proceeding with this. And that's what I intended to explain on this page.
Operator: Next question from [inaudible]
Unidentified Analyst: This is [inaudible] from Denki Shimbun Newspaper. I have three main questions. So if I could go one by one. First is related to financial results. Hitachi Energy backlog in the third -- compared to the third quarter, now Q4, the backlog has increased further. How do you plan to resolve this? So your order-taking activity seems strong, but they may not be addressed as rapidly. So transformer manufacturing site investment is ongoing. When do you think you will hit the right balance? And the production is not keeping up. And so the production activity is being suppressed now or not? So how do you plan to work on the backlog to reduce the backlog?
Keiji Kojima : Thank you, Sakisaka-san. Kojima will explain. As I touched on earlier, the demand is now strong in Hitachi Energy. So we are working with clients and sharing information and having close discussion to discuss how much capacity can be prepared, when to address customers' needs. So these are all included in the contract. And therefore, we call this the frame agreement. So for one particular customer, over multiple years, we'll install facilities and equipment. Until now, the first facility, there was a bidding, and then the next equipment had another round of bidding. But now everything customer needs is integrated and the capacity -- the total capacity, the total manufacturing capacity is calculated so that can be completed. It is done in an extremely planned fashion. So unlike in the past, there is not much risk where we cannot resolve the backlog. In other words, we have to do this. As industry, as customers, we cannot have good agreement, and so we have this frame agreement. I think the competitors are also moving in that direction. So the entire industry supply and demand is now being addressed, trying to hit the balance between supply and demand.
Unidentified Analyst: Yes. My second question, President Kojima in your presentation, Page 14, so JPY 200 billion investment in servitization of Social Infrastructure business. Energy domain servitization, what kind of investment are you planning in specific terms?
Keiji Kojima : Energy area, so it's the transmission distribution area, T&D, as I said earlier, the installed equipment or installed equipment, the maintenance digital service will be offered to the installed base to increase the business. So the development investment, and in some cases, we will look for small-sized M&A with a great technology. Because the order is so strong and backlog is big and we are using the frame agreement to commit to service, we need digital and Lumada to be fully leveraged. So the development and promising players will be acquired. So that's how we plan to use money.
Operator: So getting back to the Japanese channel. Inajima-san, state your questions.
Tsuyoshi Inajima: Inajima from Bloomberg. I would like to ask two questions. As it was asked earlier, I have a question regarding a cheaper yen, inclusive of currency intervention, if there are any initiatives that you request the Japanese government. Earlier, you talked about risk management system already being established. But more specifically, what kind of initiatives are you undertaking as Hitachi for risk management? And another question to Mr. Kojima. With U.S. presidential elections, if Trump is going to be reelected, I think the U.S. government policy will likely change substantially. So depending on the results of U.S. presidential elections, what impact do you foresee? And what kind of preparation are you making in that event? That's all.
Keiji Kojima : So Kato-san will respond to the first question regarding currency.
Tomomi Kato: Well, in terms of currency impact, as Kojima-san explained in the presentation, over the short term, in terms of operating income, it's going to be positive, but long term, not necessarily. So ROIC that we showed for FY 2024, it's 9.5%. But there's major difference from earlier forecast and that's because of the currency. When MMP was put together, it was JPY 110 to the dollar. So there has been considerable impact from currency. And in terms of risk control, so the currency risk does not manifest, we would like to utilize the gains, if possible, and reducing the number of swaps with other currencies. So we're doing such basic undertakings. And so those are the measures for currency.
Keiji Kojima : And about the U.S. presidential elections, well, it's not just in the U.S. In a variety of countries, elections are being held and regimes are being changed. Administrations are changing. And what will happen? Of course, we run simulations for that. With respect to the U.S. presidential actions, what we focus on most is those related to the environment, what kind of investment will be made in the environment, IRA and CHIPS Act. For the industry, the current administration has come out with very important initiatives as such. And so how will that change? That's what we're focused on. So far, how shall I put it, the states where Republican Party is strong, there are lots of states, Republican states that are benefiting from the current policies. So even with the change of presidency, I don't think it will change all that much, considering that many states are benefiting. And inclusive of subsidies, we're not getting subsidies. So there's not going to be a lot of risk with respect to subsidies. But the environment, AI, would there be potential impediments that would impede market growth in those areas? That's what we're focused on. But according to the current analysis we have, I don't think the presidential elections will pose a lot of risk or problem. And another aspect is with increased protectionism. If it's going to have a major impact on supply chain, especially bilateral relationship between the U.S. and China, of course, there's such potential risk. So supply chain, how can it be closed and completed region by region? Even before waiting for the outcome of presidential elections in the U.S., we are preparing ourselves already.
Operator: Next, Hirakawa-san.
Mikio Hirakawa: BofA Securities, Hirakawa is my name. I have three questions. I joined halfway, so I'm sorry if my question overlaps. Three questions. First is your ending March '25 plan, you have a solid plan, I think, but EBITA margin, 12% is the MMP target. This time, it's 11.5%. So the reason you fell short of 12%, what were different from what you originally anticipated? Or you can achieve 12%, but you are looking at various risk factors at the beginning of the year and set at 11.5%, what is the background?
Keiji Kojima : So yes, I will answer. So the biggest difference from the initial plan is the FX exchange rate. As I said earlier, when yen depreciates, profitability declines. That is the overall structure. So this exceeded our expectation. One more point is railway and power grid growth, we did not think they will grow this much. Profitability-wise, it was still on the way to improvement. So if that part becomes big, then the overall profitability will be difficult. So that is the biggest difference from when we originally developed MMP '24. We do not think we can go for 12% if we tried. 11.5% is, I think, is a solid sure number.
Mikio Hirakawa: Understood. My second question is MMP progress presentation. You're talking about new investment opportunities. You gave us much information. On Page 19, you talked about the energy area. Hitachi Energy and GlobalLogic, it was not specific to GlobalLogic, but when you acquired Hitachi Energy, Hitachi Digital technology and Hitachi's synergy was to be generated. I think you said that you are seeking for synergy. So for a lack of a better word, why is this a focus now? Maybe it could have been a focus earlier or now the time is right and you have cash flow. And so if you use the cash flow, you can speed up and take off. What do you -- what is your thinking? From your perspective, President Kojima, Hitachi Energy and your synergy have been generated so far or could you elaborate? Maybe Hitachi Energy was so busy, but --.
Keiji Kojima : Thank you very much for that question. So from the beginning, we wanted to make this a big business. And finally, we are starting to say -- speak the same language. We're starting to understand each other, which I am a bit embarrassed, but IT and OT people take that much time. I realize that once again. Now finally, they are talking. They are on the same page. Hitachi Energy had -- Claudio Facchin, CEO, had been driving this business from ABB days. And for product delivery, he is the extraordinary person, splendid person. And the reason the order is increasing now is because he is taking the lead. That is why we are achieving this much growth. In the next phase, as I mentioned earlier, service. So the service by digitalizing the installed base need to be pursued. So Andreas, I introduced him already, right, when I showed you the leadership on Page 4. So he will assume the position from July 1. On lower right, you can see Andreas Schierenbeck. He will be the new CEO of Hitachi Energy. In thyssenkrupp, he was in elevator business and shifted that to digital service. So we are finally -- power grid service will be digitalized on a full scale, and that is why Andreas is now on board. He will drive the business. And IT and OT, Hitachi Energy and GlobalLogic, people are now communicating very effectively. So we will make a big investment. And in FY '24, we want to launch this business in a big way.
Mikio Hirakawa: And last question, maybe this is not a refined question, but Hitachi Energy in year ending March '24, Hitachi Energy had a big order, more than 40% growth. Some part is FX factor, but this year's order, what kind of order can we expect? And in the stock market, data center is such a hot topic. In Q4, Hitachi order -- Hitachi Energy order, how much of that is related to data center? Can you analyze or break down?
Keiji Kojima : Thank you for the question. Hitachi Energy, simply put, is a company that has a conservative forecast. But this year, it is now becoming more sure. That said, from order perspective, FY '24 will be pretty strong. I want to hear CFO's inputs too, but that's our current view. And data center-related, how much data center-related orders we have? We have the numbers and but I want to refrain from sharing that with you today. But how should I say? Very big, very high.
Mikio Hirakawa: So in terms of product, it's transformer-related, that's similar to data center?
Keiji Kojima : Yes, exactly. Yes, Kato-san will add some more information.
Tomomi Kato: So in terms of growth rate, Hitachi Energy grew by 49% in FY '23. So in FY '24, keeping the same growth rate is not realistic. There are many large-scale customers. But in terms of the amount, yen value, excluding FX, this level of order can be expected. President Kojima just mentioned, we have a long-term basic contract framework agreement with the customers. Now the delivery timing is even beyond 2030 in some cases. And so we are working towards that, and we think it will grow steadily. So this is our current view for FY '24.
Mikio Hirakawa: I have one follow-up question. So value-wise, amount-wise, there's going to be growth. And there must be several drivers behind that. What would be the most important drivers, if you could share your thought on that?
Tomomi Kato: In principle, this is something that will grow over the medium to long term. We have lots of orders intake for HVDC. For HVDC projects, I think they will continue to grow as they have grown so far. And modernizing equipment, including transformers, so basic equipment orders will also grow as well. And our customers, the largest customers are utilities, power companies. And for industrial use as well, data centers that was mentioned, data centers are also another area of high growth that we have high hopes on.
Operator: Next, Ezawa-san, ask your questions.
Kota Ezawa: Ezawa from Citigroup Securities. Regarding capital allocation, I would like the latest update, if you could. In the presentation you made, for M&A, JPY 0.3 trillion, I think that was in Kojima-san's presentation. I think this amount is for the full year this term. And will that be the rule of thumb for Hitachi's M&A going forward? In other words, you will be investing JPY 300 billion on a stand-alone basis for M&A going forward every year so that you will be able to add revenue of that size every year? So part of cash flow growth and revenue growth will come from such M&As going forward? That's what I would like to know. So in terms of the background, going to the next question, equity prices are up. And PR is over 20x. That's the level right now. You made a buyback of JPY 200 billion this time, but cash on hand. Investing in equities with PR of 20 or more, is that the right thing? Or with rising equity prices, perhaps capital allocation should change. So share buyback and investment in M&A for growth, how would you like to adjust or change that balance between the 2? If you have any thoughts on that, please?
Keiji Kojima : Ezawa-san, thank you for the questions. Our basic thinking has not changed all that much. So core free cash flow, half of that will be invested for growth, and the remainder will be returned to the shareholders, including dividend payment. And when making share buyback whilst selling properties or assets, whenever there are proceeds from such a sale, we would like to retain the proceeds to shareholders. And so the basic framework of our thinking has not changed all that much in that regard. And Ezawa-san perhaps was referring to Page 14. Yes, so JPY 0.3 trillion for M&A when promising cases arise, every year, roughly about this amount, JPY 300 billion to JPY 500 billion also will be allocated to potential M&A when such opportunity arises. With respect to large M&As, we're not necessary of a positive view, and that's because of major PMI risks associated with large M&As. But having said so, if we think that a certain case will offer great growth opportunity, we may want to increase our leverage to go after such a target. But when we want to also have a stable organic growth, agile M&A transactions can help our organic growth as well. That's part of the thinking. So that's what we mean here. In that regard, what's described on this page, well, we have an idea of what we want to invest in, including bolt-on investments. But the JPY 0.3 trillion, that's free reserve, if you will. And we will watch potential opportunities to decide whether to invest this amount or not. That's what it means here. Thank you very much.
Operator: Next, Takahashi-san, ask your question.
Mariko Takahashi: Yes, Asahi Newspaper, Takahashi is my name. First question, 2023 revenue and profit, the generative AI is my question. Compared with the previous year results, what is your view?
Tomomi Kato: So generative AI-related revenue, including orders, has been increasing. Inquiry is increasing. So we're seeing growth. The amount is not disclosed, but both order and the revenue are growing. In DSS, GlobalLogic is one company. From early on, customer inquiries have been coming in and has been contributing to revenue.
Mariko Takahashi: I have two more questions on MMP material. First, Page 19, please. Railway business, so maintenance will be optimized, you mentioned. And the target area is my question. So it's mainly Europe, I think. So once again, what do you plan to do for Japan. Are you thinking of similar service in Japan?
Keiji Kojima : Thank you for the question, Takahashi-san. As you rightly said, the main point target is Europe. Europe railway business is horizontal. And the service, we -- there are many areas we can take the lead. So we will deploy our business there. But in other areas, we will roll out this business one by one. First target is Japan. And Japan's railway players are taking a look at this, and they think it's advanced. They think they can utilize this too. So the next target is Japan. In the U.S., we'll be further down the road. Business model-wise, the operators are doing the business in a vertical manner. So in the U.S., it will be new areas if we are going to enter the U.S.
Mariko Takahashi: Same material, Page 9 is my second question. So there are various risks, but China-related risk is my question. So from new installation to maintenance, you mentioned, so including business domain, could you elaborate on this point?
Keiji Kojima : Yes, thank you. So our Elevator & Escalator Business, in China, real estate market slowed down quite significantly. So new constructions of buildings, the order from new constructions dropped significantly. So we took 2 actions. One is from private sector operators, from low-risk players, from low-risk customers, we took orders. And in China, we have quite a big installed base now. So maintenance or the remote monitoring, we're trying to shift in that direction. And another is renewal, not new construction, but renewal. So we switched over early on. Usually, China's escalator -- elevator/escalator would have dipped further if we did not take these actions, but we took very agile, flexible actions. Our China team moved quickly to address the risks. And so financial result was reasonably good. So that is what's expressed here.
Operator: To continue, [inaudible] ask your questions.
Unidentified Analyst: Wen from [inaudible]. So October 2023 in North America, Hitachi Vantara went through restructuring. And earlier, you talked about IT x OT. What is the expected role of Hitachi Vantara?
Keiji Kojima : Thank you for the question. So the biggest purpose of restructuring of Hitachi Vantara was to respond to generative AI. With respect to generative AI, LLM or large language model in the model is attracting a lot of attention. But in actuality, data must be supplied to LLM. And so data infrastructure below LLM, where data is managed, becomes critical. And Hitachi Vantara's data storage business, it has lots of technologies for data management, and they could form the basis for generative AI. That's what we thought. So as part of restructuring, we wanted to make the business so that it can address that need. And application on top of LLM, in our case, will be handled by social infrastructure times generative AI. Lots of important applications can be generated. And in order to address that, Hitachi services, so it's a combination of OT x IT to provide solutions. And so the bottom and the top of LLM, so Hitachi Vantara's data storage, data management solutions. And on the top layer, OT/IT solutions, we're doing both. And we want to turn the impact of the advent of generative AI for our benefit. And that was the purpose of restructuring.
Unidentified Analyst: Well understood. There's another question I would like to ask. With the collaboration with NVIDIA, you made an announcement about Hitachi iQ. And that's a part of your IT/OT trend. So in the final year of MMP '24, with IT and OT, what kind of outcome or result would you like to see? And how would that impact the subsequent MMP?
Keiji Kojima : Thank you for the question. So collaboration with NVIDIA, there are 2 pillars. So what we explained, and it actually corresponds to restructuring I talked about. So one is about data management, the bottom of LLM. Hitachi iQ -- that's Hitachi Vantara's data management solution. So on Hitachi iQ, we're going to collaborate with NVIDIA, and we're going to make considerable investment in Hitachi iQ for that purpose. That's what we said. And another aspect is IT x OT, power grid times generative AI and railway times generative AI. Those 2, we're going to pursue with NVIDIA. And NVIDIA, when it comes to social infrastructure, OT x IT, they have a strong desire to utilize generative AI for such infrastructure. So in that regard, the direction that we're pursuing is the same as this. And so that is why we made that announcement.
Unidentified Analyst: Lastly, so in the last fiscal year of MMP '24, what is the kind of result you would like to produce? If there's an idea, Mr. Kojima, in your mind, if you could share that with us.
Keiji Kojima : Well, thank you for the question. Of course, in the MMP, to various investors, this is what we're going to deliver. We made that commitment, so we will follow through on that commitment thoroughly. And that's most important to us. At the same time, without waiting for the next MMP, what I have already discussed for new opportunities, we want to address new opportunities as they arise. And we would like to make thorough efforts at that in this fiscal year. So good growth opportunities that we are able to capture as Hitachi. We want to demonstrate that during FY '24, and the result will be reflected in the next MMP. So that's what we would like to see realized.
Operator: Next question is the last hand we are seeing for now. So we would like to have the next question or the last one. Yasui-san, ask the question.
Kenji Yasui: This is Yasui from UBS. I have two questions. First, this year's service platform, other than GlobalLogic, the revenue is big. Storage is growing from around February, so storage can be gen AI. So will this grow this year and dip next year? In the medium term, storage will be needed. And with gen AI, storage business can grow? Is there a technological background that you could share with me? And second question, IT service is extremely strong, you said. And before using gen AI, system needs to be modernized, you said. So it overlaps, but it is very strong. The business is so strong, JPY 10 billion becomes JPY 12 billion. The customers are now increasing the budget. So why is it growing so much? I'm not fully understanding this. It's an era of software, but it did not grow as much. But now it seems like we're seeing a further acceleration. So from a professional perspective, if you have some conviction that the market will grow or customers are willing to pay more, I would like to know.
Keiji Kojima : Thank you, Yasui-san. So to your first question, service platform, as you rightly said, we think storage will grow significantly. As I mentioned earlier, including data center, generative AI and data management infrastructure will grow. We think there are 2 technological growth areas. One is the so-called hybrid cloud. There's public cloud and the on-premise, private cloud. So when generative AI comes out, many customers think they have to use both. So cloud will be hybrid cloud. Our technology is virtual. We can handle it without them knowing where it is. So what exists within inside have tight security. So compared to normal cloud is, I'm sorry, I'm being technical, you have to access differently, separately. So it's a different kind of data you have to access separately, but you can access without knowing where it is. But if it's closed, the security is tight. So it's software-defined storage. I don't think our peers have this technology. So in hybrid cloud, we think we have a good opportunity, and that is gen AI, become the gen AI data infrastructure. We think this will grow strongly. And the other is in service platform, storage, midrange was bottleneck. There are two bottlenecks. One was the performance itself, and the other was this had to be sold indirectly and the channel was not well established. So we were fixing this thoroughly. And we think we will enjoy positive results for that. So we think this area will grow strongly this year. So for storage platform, fiscal '24, we can show you a completely different situation. And regarding modernization, so Japan's IT service, why is it so strong, including the need for modernization. Customers are now trying to increase labor productivity. And this is imminent, it's urgent because we are behind the U.S. and European players in Japan. So the clients are willing to invest and resolve this bottleneck. The labor cost, the wage will rise in Japan. So IT is the key to increasing productivity and digital. So this is the big challenge Japan has. And therefore, the old IT has to be modernized and gen AI will be adopted actively. Japan is finally realizing that they need IT to grow. And this notion is penetrated. IT was thought to be utilized to reduce cost, but this culture is changing, I think.
Operator: And with that, we would like to conclude the session for consolidated financial results for the year ending March 31, 2024, and progress of Mid-term Management Plan 2024. On the 11th of June, we're going to organize Hitachi Investor Day. As was mentioned by Kojima-san earlier, we will be informing you of the details at a later timing. Thank you very much for your participation over extended hours. Thank you very much.